Operator: Ladies and gentlemen, thank you for standing by for CIGNA’s third quarter 2009 results review. (Operator Instructions) We’ll begin by turning the conference over to Ted Detrick. Please go ahead Mr. Detrick.
Ted Detrick: Good morning everyone, and thank you for joining today's call. I am Ted Detrick, Vice President of Investor Relations, and with me this morning are Edward Hanway, CIGNA's Chairman and CEO; David Cordani, our President and Chief Operating Officer; and Annmarie Hagan CIGNA's Chief Financial Officer. In our remarks today, Edward Hanway will begin by briefly commenting on CIGNA’S third quarter results. David Cordani will provide his perspective on the third quarter and the full year outlook for CIGNA’s ongoing businesses. He will also provide an update on our cost reduction initiatives and how we are positioning ourselves for 2010 and beyond. Annmarie Hagan will then review the financial details for the quarter and provide the financial outlook for full year 2009. She will also provide high-level commentary regarding our 2010 outlook. Edward will then conclude with an update on the topic of health care reform before we open the lines for your questions. Now as noted in our earnings release CIGNA uses certain financial measures, which are not determined in accordance with Generally Accepted Accounting Principals or GAAP when describing its financing results. Specifically we use the term labeled adjusted income from operations as the principle measure of performance for CIGNA and our operating segments. Adjusted income from operations is defined as shareholders income from continuing operations excluding realized investment results, special items and the results of our guaranteed minimum income benefits business. A reconciliation of adjusted income from operations to shareholders income from continuing operations, which is the most directly comparable GAAP measure, is contained in today’s earnings release, which was filed this morning on Form 8-K with the Securities and Exchange Commission and is also posted in the Investor Relation section of www.cigna.com. Now in our remarks today, we will be making some forward-looking comments. We would remind you that there are risks factors that could cause actual results to differ materially from our current expectations and those risk factors are discussed in today’s earnings release. Now before turning the call over to Edward, I will cover a few items pertaining to our third quarter results. Regarding results I note that in the quarter we recorded a charge of $7 million after tax related to CIGNA’s previously announced cost reduction plan which we reported as a special item. I would remind you that special items are excluded from adjusted income from operations in today’s discussion of both our third quarter results and full year 2009 and 2010 outlooks. Relative to our run-off reinsurance operations our third quarter shareholders net income included after tax income of $16 million or $0.06 per share related to the guaranteed minimum income benefits business, otherwise known as GMIB. I would remind you that the impact of FASB fair value disclosure and measurement guidance on our GMIB results is for GAAP accounting purposes only. We believe that the application of this guidance does not represent management’s expectation of the ultimate liability payout. Because of application of this accounting guidance CIGNA’s future results for the GMIB business will be volatile as any future change in the exit value of GMIB’s assets and liabilities will be recorded in shareholders net income. CIGNA’s 2009 and 2010 earnings outlooks which we will discuss in a few moments exclude the results of the GMIB business and therefore any potential volatility related to the perspective application of this accounting guidance. And then one last item, I would like to remind you that CIGNA will be hosting its annual Investor Day this year on November 20 in New York City. And with that, I’ll turn it over to Edward.
Edward Hanway : Thanks Ted, good morning everyone. Our third quarter 2009 adjusted income from operations was $311 million or $1.13 per share and our third quarter consolidated results reflect solid earnings contributions from each of our ongoing operations and demonstrates the benefits of our diversified portfolio of businesses in this challenging economic environment. For heath care, earnings were $204 million in the third quarter representing a $27 million increase over the second quarter of 2009 result. This result is in line with our expectation of second half health care earnings being meaningfully higher then the first half and is consistent with the earnings trajectory provided in our full year earnings outlook. Our health care results continue to demonstrate our strong focus on managing operating expenses while maintaining our quality service and clinical program delivery. For our group disability and life business we reported earnings of $65 million and we continued to achieve competitively attractive margins in this business. This earnings result is evidence that our superior disability management programs continue to create value for our customers. Third quarter earnings in our international segment were $40 million which were below expectations. We continue to be pleased with both the top line growth and earnings contributions of international where margins continue to be competitively strong. Our investment portfolio including our commercial mortgage loans continues to perform well relative to market conditions and we believe this is a direct result of our disciplined approach to investing. In addition our capital position remains strong and we continue to maintain the financial flexibility to weather potential challenges in the capital markets. Regarding our full year 2009 outlook we continue to expect earnings per share will be in the range of $3.80 to $4.00 a share. Now this reflects a modest change to the upper end of our health care outlook as well as favorable third quarter results from our run-off reinsurance business. Overall I remain confident in our ability to achieve our 2009 operating goals and earnings estimates in this challenging business environment. Achievement of these goals has been and will continue to be the direct result of our disciplined focus on creating value for our customers by improving the health, well-being, and sense of security of the people we serve. And with that I’m going to turn the call over to David.
David Cordani : Thanks Edward and good morning everyone. Today I will review our third quarter results for ongoing operations and I’ll comment on our full year 2009 outlook, both against the backdrop of the current conditions in the health benefits marketplace. I’ll also provide an update on our ongoing operating cost reduction initiatives and I will briefly discuss our strategy, specifically how we are positioning ourselves for 2010 and beyond. So let’s get started. Third quarter 2009 health care earnings increased sequentially at expected and reflect good progress on reducing operating expenses as well as seasonal improvement in Medicare Part D results. This was tempered by medical cost pressure in our guaranteed cost book of business. Overall earnings results were strong from our specialty businesses. However we did experience pressure in our stop loss portfolio. Specific to our Great West stop loss book of business results continue to be strong as we deliver cost improvements for our customers. Relative to this portfolio we expect to achieve virtually all of the total medical cost improvement by the end of this year. Turning to expenses, we continue to realize improvements as a result of our multi phase action plans. We’ve balanced these actions with ongoing technology investments and strong service and clinical program delivery for our customers, clients, doctors, hospitals, and producers. Moving to membership, our third quarter results were in line with our expectations at just over 11 million members. Our risk membership was stable in the quarter driven by ongoing growth in our individual memberships and demand for our leaner risk products. And for 2009 we continue to expect medical membership to decline by approximately 5% to 5.5%. While our account retention rates are strong, high unemployment levels have driven higher disenrollment which account for the majority of our membership losses. Overall our third quarter health care earnings increased sequentially as expected. Let’s turn to our third quarter results for our group disability and life business. Earnings in the quarter were strong driven by good margins in each line of business. Our best in class disability management programs deliver value to our clients by returning their employees to health and helping them get back to work more quickly then the competition. We continue to closely monitor emerging economic trends and expect the impact from the current downturn to be manageable. For international business earnings in the quarter were mixed with improved policy retention rates offset somewhat by unfavorable claims experience. We continue to see good demand for our supplemental health insurance products as the growing middle class, particularly in Asia, are looking for simple, affordable products to fill gaps in their coverage levels. Overall our group disability in international results in the third quarter were solid considering the global economic recession. Now let’s take a look at the current conditions in the health benefits marketplace. The pricing environment remains competitive and our strategy is to maintain our underwriting discipline. Its clear that our industry is facing medical cost pressure. Regarding our book of business we expect total medical cost trend to be at the upper end of our 7% to 8% range driven by the impact of H1N1. In today’s environment two distinct purchasing criteria have emerged. Commodity based offerings that focus on supply side programs and value based offerings that balance supply side programs with demand based programs that incent and engage individuals to improve their health and productivity. Our message is resonating well with clients who employ value based criteria. Our approach of truly listening to our customers, then taking the opportunity to understand them, and then using that understanding to help them is resonating. We help by driving active participation of our individual customers with us and their physicians to manage their health. This leads to lower health risks, improved health and as a result lower costs and higher productivity. We continue to see good cost and productivity results for our innovative customers as they balance effective supply and demand based programs. Today winning in the marketplace clearly requires you to demonstrate value. We do this through our service levels, our total cost management programs, and consumer engagement capabilities. Looking to 2010 currently we expect commercial medical membership to be stable with meaningful growth in the middle market offsetting declines in the national segment. Now we recognize that ongoing operating expense improvements are important to drive continued progress in the marketplace. This quarter we made further progress with our cost reduction program. In total actions we’ve taken this year will result in annualized pre-tax benefits of approximately $150 million for the enterprise. We recognize there is still more to do and we remain committed to the execution of our multiyear expense strategy to meaningfully improve our expense position. It is important to note that as we make progress on improving our operating expense levels we will continue to balance our strong service levels, and our commitment to clinical excellence for the benefit of our customers and the need to invest prudently in technology. We will discuss these areas in greater detail at our Investor Day on November 20. So that’s a look at where we are to date, now let’s discuss how we’re positioning for 2010 and beyond. We will review our strategy in depth at Investor Day later this month, for now let me provide just a few highlights. First and foremost our mission remains the same, we are committed to helping the people we serve improve their health, well being, and sense of security. To give you a preview, our strategy is all about driving focus and playing to our strengths where we can win today. An example is the competitive strength of our middle market segment where we have historically strong performance in our health care lines and our disability lines. In addition we will also leverage our capabilities to extend and build in high growth markets. An example is that we are the only player with a diverse global footprint. We will build and expand further here. And to achieve this broadly we will organize around our customers and expect to have a fully competitive cost structure. As I noted we are looking to reviewing our new strategy with you later this month. Looking to 2010 clearly we recognize that it will be a challenging year given the state of the global economy and the uncertainty of US health care reform. Some of the headwinds include high unemployment levels, ongoing pressure on medical cost trends, and the need for targeted technology investments. Despite these macro headwinds CIGNA is positioned to deliver competitively attractive earnings from our ongoing businesses. And we expect our medical membership to be stable for 2010. Before I turn the call over to Annmarie, I will reiterate just a few highlights. Our third quarter results were solid and we remain committed to our full year earnings outlook. Our service and clinical results continue to differentiate us across the globe. And finally in 2010 we expect to deliver competitively attractive earnings. At this point I’ll turn it over to Annmarie.
Annmarie Hagan : Thank you David, good morning everyone. In my remarks today I will review CIGNA’s third quarter 2009 results. I will also discuss our outlook for the balance of 2009 and then provide some high level commentary regarding our 2010 outlook. In my review of consolidated and segment results, I will comment on adjusted income from operations. This is shareholders income from continuing operations excluding realized investment results, GMIB results, and special items. This is also the basis on which I will discuss our earnings outlook. Our third quarter consolidated earnings were $311 million or $1.13 per share compared to $246 million or $0.89 per share in 2008. Our consolidated third quarter 2009 earnings reflect solid results from all of our ongoing businesses. That is health care, group disability and life, and international. I will now review each of the segment results beginning with health care. As expected health care earnings increased sequentially. Third quarter health care earnings were $204 million compared to $177 million in the second quarter. The sequential increase in earnings primarily reflected reduced operating expenses and seasonal improvement in our Medicare Part D results. While overall our specialty businesses continue to report strong results they were tempered somewhat by pressure in our stop loss book of business. Overall operating expenses decreased sequentially and were lower then expected. This result demonstrates our continued focus on effective expense management while investing prudently in technology and maintaining strong service levels. Health care membership declined by 85,000 lives in the quarter. This result was in line with our expectations and primarily reflects the continued impact of disenrollment on our ASO book of business. It is important to note that our guaranteed cost membership was down a modest 1% in the quarter compared to a year to date decline of 14%. I will now discuss our health care results by major component, in the quarter we experienced some medical cost pressure on our total book which was largely flu related. Relative to our guaranteed cost loss ratio the third quarter was higher then expected despite showing modest sequential improvement reflecting the impact of flu related and other facility based claims. Our year to date guaranteed cost loss ratio was 85.3% excluding our voluntary business. On a year to date basis flu related claims including H1N1 contributed 30 basis points to the MCR or approximately $5 million after tax. In addition as discussed last quarter the impact of unfavorable prior year claim development through the first nine months of this year was approximately 50 basis points. Excluding the impact of flu related claims and prior year claim development our year to date guaranteed cost loss ratio would be 84.5%. We continue to maintain good pricing and underwriting discipline for the guaranteed cost book with yields running at or slightly above our updated trend outlook. Relative to our stop loss book, overall earnings continued to be strong in part reflecting strong contributions from the former Great West stop loss business. In the quarter specifically we experienced some revenue pressure primarily due to disenrollment which resulted in lower then expected earnings. We remain on target to achieve our total medical cost improvement initiatives on the Great West stop loss book. Overall our experience rated results continue to be in line with our expectations reflecting favorable operating expenses and solid underwriting execution on our renewal book of business. Our ASO results increased from the second quarter driven by favorable operating expenses and sustained contributions from our specialty businesses. Now I will discuss the results of our other segments, third quarter 2009 earnings in our group disability and life segment were $65 million. This segment continues to deliver competitively attractive margins driven by the value we provide to customers through our disability management programs. Results in the quarter also reflected continued favorable accident claim experience. In our international segment third quarter 2009 earnings were $40 million reflecting the impact of global economic pressures including unfavorable claim experience. I would note that overall our international business continues to deliver competitively strong margins. Earnings for our remaining operations including run-off reinsurance, other operations and corporate totaled to a gain of $2 million for the quarter. Third quarter results in the run-off reinsurance segment were a net gain of $14 million and included favorable claim development in our discontinued Workers’ Compensation and personal accident books of business. As a result of continued stability in the equity markets no VADBe reserve strengthening was required in the quarter. I will now comment on our investment portfolio and results. Overall our investment portfolio continues to perform well. During the third quarter we posted a net realized investment gain which totaled $9 million after tax. We view this as a strong result given the current market conditions. Regarding our commercial mortgage loan portfolio of $3.6 billion third quarter performance remained strong and problem loans continued to be manageable. We have not taken any significant impairments on either our problem or potential problem loans, as the market values of the properties continue to exceed the loan values. Problem loans now total $100 million or less then 3% of our total loan portfolio. Potential problem loans now total $239 million or less then 7% of our total loan portfolio. All of these loans continue to meet their contractual cash flow obligations. For the total portfolio the loan to value ratio is 77% which is generally consistent with our second quarter and [yield loan review]. Overall we continue to be quite pleased with the makeup of our investment portfolio and its strong performance relative to the current market conditions and we believe our problem investment exposure is manageable. I will now provide a brief update on CIGNA’s capital management position and outlook including a summary of our subsidiary capital and our parent company liquidity. Overall we continue to have a strong balance sheet and good financial flexibility. We ended the third quarter with cash and short-term investments at the parent of approximately $210 million including outstanding commercial paper borrowing of approximately $100 million. We remain on track to achieve our 2009 capital management goals, specifically as of September 30, we have achieved our targeted surplus levels which are approximately 600% of the authorized control level. We ended the quarter with approximately $3.8 billion of statutory surplus in our domestic subsidiaries. This is far in excess of regulatory minimums. Year to date we have contributed $354 million pre-tax to our pension plan and this is relative to our expected full year enterprise contribution of approximately $410 million pre-tax. We now expect to build parent company cash to $350 million by year end including $100 million of outstanding commercial paper borrowing. This projected ending balance reflects maintaining our subsidiary capital levels at or above target through year end 2009. This is an improvement to our previous expectation of $275 million with the increase driven primarily by modestly higher expected subsidiary dividends and other tax related adjustments. Our expectations for pension funding remain unchanged. I would remind you that we do not anticipate having capacity for share repurchase in 2009 and we have no long-term debt maturing until 2011. Overall our current capital outlook remains positive based on our progress in 2009 we expect to be in a position to resume our normal capital deployment strategy in 2010. I will now review our earnings outlook, for full year 2009 we continue to expect consolidated adjusted income from operations of $1.04 billion to $1.1 billion. We also continue to expect full year earnings per share in the range of $3.80 to $4.00 per share. Our current outlook now reflects slight pressure in our health care and international businesses offset by the favorable claim development in our third quarter run-off reinsurance results. I would also note that our updated earnings outlook assumes VADBe results are break-even for the fourth quarter since we believe that our current reserve assumptions are appropriate. I will now discuss the components of our 2009 outlook starting with health care, because of medical cost pressure we have modestly lowered the upper end of our outlook range. We now expect health care earnings in the range of $700 to $750 million for the full year. Specifically our outlook now reflects expected medical cost pressure in our guaranteed cost book of business and to a lesser extent, lower stop loss earnings partially offset by lower operating expenses reflecting continued progress on our cost reduction initiatives. Relative to our guaranteed cost book of business, we now expect our full year loss ratio excluding voluntary to be in the range of 85% to 86% which is 100 basis points higher then our previous estimate. This revised outlook primarily reflects the higher then expected impact of flu related and other facility based claims experienced in the third quarter. This also contemplates our expectation for continued H1N1 pressure in the fourth quarter. Regarding our stop loss book of business, we expect lower earnings given the revenue pressure we are experiencing primarily related to disenrollment. Our stop loss book continues to be a strong earnings contributor to the overall health care results. As a result of this medical cost pressure we now expect full year medical cost trends for our total book of business to be towards the upper end of our 7% to 8% range. We continue to expect medical membership to decline by approximately 5% to 5.5% for full year 2009. Regarding our other businesses, we expect the remaining operations to contribute approximately $340 to $350 million in earnings for the full year. This includes continued solid earnings contributions from both the group disability and life and international operations. These two businesses consistently deliver competitively strong margins and continue to see good demand for their products and services. All in, we continue to expect consolidated earnings per share to be in the range of $3.80 to $4.00 per share and this assumes that VADBe results are break-even for the balance of the year. I will now comment on our 2010 expectations, we will provide additional detail on our financial outlook at our upcoming Investor Day. Today I will walk through our expectations at a high level, but I would first acknowledge that we are operating in challenging environment. This relates to both the current economic conditions as well as uncertainty surrounding health care reforms. On this latter point, note that our outlook does not reflect material changes to our business model in 2010 as a result of reforms. Overall we expect flat to low single-digit percentage earnings growth in our 2010 consolidated adjusted income from operations. This outlook reflects health care earnings growth in the low to mid single-digits, flat to low single-digit earnings growth for our combined group disability and life and international segments, and VADBe results at break-even. There are several factors that we expect to impact our 2010 results, first relative to membership, we expect to end 2010 with medical membership that is stable with the year end 2009 results. While overall 2010 membership results are expected to be stable we would expect an earnings headwind in 2010 due to the full year impact of membership losses that occurred throughout 2009. As David discussed earlier, imbedded within this overall membership expectation we anticipate strong growth in our middle market segment which has attractive margins offset by a net decline in the national account segment. Second there is the potential for further pressure on medical costs which includes the flu and H1N1. Third we expect to benefit relating to operating expenses as we continue to execute on our cost reduction initiatives while maintaining prudent investment in clinical and service capabilities and related technology. So overall we expect flat to low single-digit percentage earnings growth in our 2010 consolidated operating earnings. This consolidated operating earnings outlook translates to an expected consolidated earnings per share that is approximately flat with the 2009 results. This earnings per share expectation is impacted by an expected increase in the weighted average share count. We expect our weighted average share count for 2010 to increase by approximately three million shares due to the following. First the impact of significant share appreciation on outstanding options, and second the impact of an accounting pronouncement which requires the inclusion of certain restricted stock grants in the average share calculation. These factors, increasing the share count are occurring in an environment where we have not repurchased shares since the third quarter of 2008. In addition I will remind you this earnings per share outlook does not include any potential impact for share repurchase. Overall we believe our outlook for fundamental operating earnings growth in 2010 would be a solid result in this challenging environment and its further evidence of the strength of our diversified portfolio of businesses. Again we will provide additional detail on our earnings and membership expectations for 2010 at our Investor Day on November 20 in New York City. Now to recap, earnings in the third quarter reflect the continued value of our diversified business portfolio as well as our continued focus on effective operating expense management. While there continues to be uncertainty around the economy and emerging medical cost pressures, we are confident in our ability to achieve our full year 2009 earnings outlook as well as our 2010 earnings per share and membership expectations. And finally our capital position and our investment management results remain strong relative to current market conditions. With that I’ll turn it back over to Edward.
Edward Hanway : Thanks Annmarie, let me now make a few brief comments on health care reform and I’ll conclude with a couple of overall observations. Regarding health care reform I would note that CIGNA continues to be quite active in the debate around the future of our health care system. We remain steadfast in our belief that we need to address the three fundamental issues of access, cost, and quality if we are to effectively improve our health care system. There are several reform proposals currently being considered in Congress and while some of these proposals may impact CIGNA’s businesses to a lesser extent then our competitors due to our diversified portfolio of businesses and our mix of medical membership, we are nonetheless concerned with the potential impacts that such proposals would introduce into the health care system. Specifically while some of the current proposals appear to facilitate and/or finance increased access to health care this is just one of the goals of health care reform. Unfortunately many of these proposals do very little to address the issues of costs and quality. In fact most of the reform bills being discussed would actually generate additional costs, both medical and administrative that would make health care even less affordable for Americans then under the current system. To address all three goals of health care reform we believe that improving upon the current employer based system is the ideal place to start. For one, the employer based system services more then 160 million Americans today. And in addition CIGNA and other companies in our industry have effectively worked with employer groups and individuals to remove excess costs in the system through integrating product and services that focus on effective consumer engagement as well as health improvement and wellness. At CIGNA we believe that every American should have access to affordable quality health care through continued development of health advocacy programs as well as cost management and wellness initiatives. While the ultimate outcome of reform is still very difficult to predict, we believe that effective reform can be achieved through a coordinated public and private partnership of all health care stakeholders and we will continue to diligently work toward that end. Results from our ongoing businesses in the quarter were solid and they demonstrate the value of our diversified portfolio of businesses. Second as Annmarie noted, our capital position is strong and our investment portfolio is of high quality and well managed. And finally I am confident in our ability to achieve our full year 2009 earnings targets for our ongoing businesses and I’m also confident in the ability of our management team to continue to improve our competitive position as we head into 2010 and thereby create value for the benefit of our customers and our shareholders. And we will provide more detail regarding our strategy and 2010 financial outlook at our upcoming Investor Day in a couple of weeks. So with that we would now be glad to take your questions.
Operator: (Operator Instructions) Your first question comes from the line of Ana Gupte – Sanford C. Bernstein
Ana Gupte – Sanford C. Bernstein : I see that your premium yields are pretty healthy and your guaranteed cost even excluding the voluntary is just declining by 1% versus your competitors are seeing some pretty significant declines and projecting pretty significant declines for next year, so can you comment on how much of that you said individual, how much of that is individual and are you seeing stable performance with small groups and why might that be and why are you differentiated relative to what others are seeing.
David Cordani : Relative to guaranteed cost as we noted in our prepared remarks we’re seeing some traction in the individual lines of business. We’re focused on a limited number of geographies so we initially launched five geographies in 2008 and moved to five additional geographies. Secondly and very importantly we launched leaner benefits that we began selling in mid 2009 and have expectations for improvement there and we’re seeing some good traction in terms of launching leaner benefits for the employer sponsored space. Specific to small group which the industry typically defines as under 50, that’s a very small percentage of our overall book of business. Think about it at the enterprise less then .50% of our overall membership will fall into that category. So I would not identify that as a driving force. So to recap, individual traction good, contribution of leaner benefit programs contributing to the employer sponsored space good, with a reasonable balance of improving account retention along with new business sales in what we call our select segment employers between 51 and 250 lives.
Ana Gupte – Sanford C. Bernstein : My follow-up is unrelated, its related to reform and I believe yesterday Kaiser, Intermountain and Geisinger are now suggesting that this fee not only be extended to the fully insured books but also ASO and I wanted to know how you see that playing out, would that be passed on directly to the self insured employers or are the insurers also on the hook for some of that if this does play out that way.
Edward Hanway : It’s a little hard to predict exactly how that’s likely to play out. I would tell you that the one thing we are focused on and working on very diligently is not only the fee but all of the revenue raisers in the bill because the concern we have is that ultimately that will, these charges will ultimately find their way in the premium rates or in the fees and will be passed on. And that will simply increase costs for everyone. So I think it’s a little premature to conclude exactly how the final financing is likely to work on these bills but I would tell you we are attempting to very aggressively make the point that all of these increased fees obviously need to be paid for and ultimately will find their way into rating structures and so forth. And I think quite frankly as I said its going to be a little bit of time until we see exactly how that works.
Operator: Your next question comes from the line of Matthew Borsch – Goldman Sachs
Matthew Borsch – Goldman Sachs: My question just on your long-term strategic thinking here and I know you’ve gotten this question before but I’m wondering what you’re latest is on thinking about the health care business versus the non-health care piece and the backdrop obviously being you’ve got sort of two feet in health care and one foot in the multiline business. I understand there’s a lot a attractive segments there but, seems to be a barrier for dedicated health care investors and what have you been, any discussions that you can provide insight on in terms of your thinking on that as to whether you might at some point break things up and recognize shareholder value in that way.
Edward Hanway : As we said here in the prepared remarks I think we have consistently viewed the businesses that we have as an attractive portfolio and in fact I think you’re seeing that reflected not only in third quarter results but in our expectation for the next couple of years in terms of very difficult economic environment. Obviously a very difficult health care environment and yet I think our expectation that we can even in spite of those factors grow earnings is reflective of the fact that we have a lot of confidence in this book of business. The other point I would make is there is and I think this point is probably lost at some point with investors, there is good synergy amongst several of these businesses. David referenced for example the strength of our middle market operations, both across health care and disability and the increasing integration of those we think provides us very good value. Now I think as you know and we’ve talked before we’re very strong on disability on a standalone basis, but when you combine that then with the capabilities on the health care side, there is very good opportunity for us there. And secondly on the international businesses again what we are doing internationally is often times finding gaps in national systems where growing middle classes are looking for protection so there is some natural synergy there as well that take some concepts that work well domestically here and vise versa. So we do believe that the portfolio of capabilities across those three large groups provides very good revenue growth opportunities as well as some very good earnings growth opportunities that in fact differentiate us from some of the competitors in our space more broadly.
Matthew Borsch – Goldman Sachs: And maybe if I could just ask on somewhat related, there has been some speculation that you were having discussions around seeing what value you could get for your PBM unit but that you’ve decided that you’ll retain that in house, is that accurate.
David Cordani : Your conclusion is accurate. Stepping back what we had indicated earlier this year was that we were going to take a thorough and hard look at that asset. As you would expect us to do based on your first comment, all of the assets in our portfolio. As we looked at our PBM specifically, we were able to validate that it is performing very well based upon both standalone as well as integrated PBM indicators number one. Two, it is currently critical to our integrated value proposition so we’ve concluded that its important strategically to us as we go forward. As we said in the second quarter and I’ll reiterate today for that asset as well as all assets, we’ll continue to revisit them, to your broader question, to make that we are confident that the inclusion of that business and all of our businesses make sense as part of our portfolio. But our conclusion as of today is yes.
Operator: Your next question comes from the line of Scott Fidel – Deutsche Bank
Scott Fidel – Deutsche Bank: First question if you can talk about your medical cost trend expectations for 2010, how that might relate to the 8% that you’re now looking for in 2009 and then talk about your views on any changes in the cost components for 2010.
Annmarie Hagan : Relative to the 2010 medical cost trend, we’re going to give you a bit more detail on that at Investor Day in a couple of weeks. You’re correct in stating that we’re now at the upper of that 7% to 8% and we’ll drill down onto specific 2010 earnings levers at large in a couple of weeks with you. Relative to the components of our trend, other then pharmacy for 2009 remain unchanged. The pharmacy is now in the high single-digits but all other components of the trend remain unchanged.
Scott Fidel – Deutsche Bank: And just on, thinking about strategy, just the plans for the expansion in individual and small group and clearly its still a very small piece of the business but how are you thinking about that now just in the context of health reform and is there any change to the pace that you’re looking at expanding out until we see some more clarity on reform or sort of just all systems still go in terms of the ISG rollout.
David Cordani : Relative specifically to individual, as I referenced earlier our current approach relative to individual primary insurance in the US is to be very focused so we’re focusing on 10 geographies as we sit here today and we expect to continue that on a very pinpointed basis, both to drive some targeted growth as well as to learn. So product innovation, as you would expect, monthly evolution in terms of product, different distribution models both primary general agent models, internet based distribution, etc. so we would expect to continue to feed that and learn as we closely monitor aspects of reform. Tying it back to a prior question as Edward referenced in terms of some of the inter relationships with our businesses, when you think about that non-US individual business that business is primarily a supplemental business so we have a lot of knowledge outside the US in terms of the way to augment social programs or gaps in government or employer based programs where individuals have needs or emerging needs. So we’re also keenly focused on making sure we’re sharing from abroad to the US and visa versa amongst our management teams right now. So point one, continue to be focused on targeted driving activity in the individual business. As it relates to the second part of your comment, small group, typically defined as under 50, the majority of our expansion attention is really around the individual today. That under 50 block of business and under 50 marketplace as it stands today is very small, has historically been very small for CIGNA, currently is very small for CIGNA and over the near-term we do not see that changing meaningfully.
Operator: Your next question comes from the line of John Rex – JPMorgan
John Rex – JPMorgan: I just wanted to see if I could get a little bit more color on the 2010 view that you provided, so within that just at least directly should we assume your presuming essentially kind of flattish top line and then apparently just a bit of underwriting margin or favorable spread, is that kind of a fair, kind of overall view or do you expect to get any favorable spread at all.
Annmarie Hagan : As I noted earlier we’ll give you much more detail in a couple of weeks at Investor Day but at the highest level the top line remains flat to slightly up. From a margin perspective I probably wouldn’t expect a lot of expansion. As we’ve noted before we have some headwinds related to our membership even though we’re expecting flat in 2010, we are still paying from an earnings perspective given the 2009 declines and then secondly we have noted continually that we are committed to continuing to focus on operating expenses. So when you think of a tailwind there I would focus on the operating expense piece.
John Rex – JPMorgan: I was just thinking in context of the type of yields I was seeing this quarter in your guaranteed cost book, it would seem that you should be able to get some underwriting margin improvement on that book too just given what you’re talking to in underlying that cost trend. And I was just wondering if I was reading that line incorrectly.
Annmarie Hagan : I don’t think you’re totally off base there. I think there’s probably modest improvement. Having said that there is some uncertainty relative to what 2010 looks like as the first quarter unfolds related to the flu and H1N1.
John Rex – JPMorgan: And then can you give us any commentary what you’re seeing in your books with regard to provider behaviors, the commentary in the marketplace as some have noted in terms of seeing aggressive coding or just aggressive utilization by providers and what you’re seeing maybe in the context of your risk books and also your observations on your self-funded books.
Annmarie Hagan : As I noted in my prepared remarks we had some flu related claims and we did see a bit of an uptick in the other facility based claims. I would note that we have not seen any major disrupters or changes in claim submissions across the board. We have a small uptick in inpatient, small uptick in outpatient and its in more of a category that I would classify as acuity or severity. So there are a bit more services being rendered and a bit more higher cost services which one could attribute to either some change in provider behavior, some change in consumer behavior given the economy etc., but there’s nothing that has kind of ramped and disruptive coming through our book to date whether it be on guaranteed cost or on the total book.
John Rex – JPMorgan: And your stop loss book, your commentary there, is that just a similar pattern there, just that your seeing more of these high dollar claims.
Annmarie Hagan : Not entirely, in my prepared remarks I did note that the stop loss was primarily revenue related, so kind of revenue leverage volume. We had noted disenrollment coming through. As you known on our ASO book we have about 50% or so of it penetrated with stop loss and the disenrollment that we had noted on ASO also impacts the stop loss and it was more revenue, minor modest uptick in medical costs but more revenue driven.
John Rex – JPMorgan: So not higher volume of high dollar claims running through those ASO books, okay.
Operator: Your next question comes from the line of Joshua Raskin – Barclays Capital
Joshua Raskin – Barclays Capital: Just trying to figure out sort of a run rate in the third quarter and I think you mentioned first it was the swine flu, $5 million of I guess excess flu costs, I wanted to make sure that was all in the third quarter because I think you said year to date. And then could you quantify the unfavorable claims in the international and conversely the favorable development I guess in the run-off reinsurance.
Annmarie Hagan : Relative to the run rate from the third quarter to fourth quarter, first to your specific question, the $5 million hit on the flu yes, was all primarily in the third quarter, largely in the third quarter. As you move into third quarter going to fourth quarter I would remind you that we are expecting probably an additional charge relative to the flu. We’ve build in probably an additional $8 to $10 million for the flu in the fourth quarter. In addition our fourth quarter typically has some impact of seasonality, the deductibility type on both the experience rated and guaranteed cost books. So if you kind of looked at our implied guidance you’d probably see a little bit of pressure going from third quarter to fourth quarter.
Joshua Raskin – Barclays Capital: The claims in the international and the run-off reinsurance favorability, did you have numbers around those.
Annmarie Hagan : The reinsurance run-off is roughly $15 million and it relates to, we do annual reviews of our Workers’ Comp and accident, personal accident lines of business. This is the discontinued book, we haven’t written this stuff since around the year 2000 on an annual basis. We’ve done that review and have been able to generate some good development on those lines, so that was about $15 million. In the international book the unfavorable claim experience, that is current year activity, I just wanted to clarify that. It is related to the current year, an order of magnitude in the $5 to $10 million range.
Joshua Raskin – Barclays Capital: And then just on the cash flow statement, just kind of reconcile cash flow versus net income and there’s that math of changing the payables, $1.1 billion or so, does that include the pension changes or what exactly is driving that and how do we reconcile your cash flow generation versus your income generation.
Annmarie Hagan : Relative to the cash flow first I’d like to always remind you all that we really, really focus on the parent company cash. As you’ll note we’ve increased the parent company liquidity $75 million this quarter, $75 million a quarter ago, so the cash flow that we’re generating overall from operations and the strength of the dividends that we can bring from our subsidiaries up to the parent is most, where I focus most and where I think the strongest evidence is of how I’m feeling about cash flow. Relative to your specific question on the cash flow statement so we made roughly $975 million from a net income perspective through nine months, there’s a lot of moving parts in there, non-cash items, GMIB, depreciation, a whole bunch of different non-cash items. But at the end of the day I think if you look at and most of these are hitting the accounts payable line you’re referring to, the cash outlay that we use to settle our VADBe hedge, so when the market goes up we have to settle that hedge and it’s a cost, so there’s the offset to the market going up. That’s roughly $230 million and then in addition in that line there’s also around $355 million relative to the pension contribution and both of those items that I’m talking about impacts to a lesser extent the quarter but the numbers I quoted also effect the full year.
Joshua Raskin – Barclays Capital: I understand, I’m just trying to figure out subsidiary cash flow generation sort of on a consolidated basis because ultimately that’s going to drive dividends in the parent.
Annmarie Hagan : That’s right and I would look at it as we always have, just for illustrative purposes order of magnitude we make about a billion dollars a year and generally 80% of that, 75 to 80% of that is available for dividending up to the parent and as you’ll remember this year there was a slight depression as it relates to VADBe. I think we’ve talked about $540 million worth of dividends this year. Just increase that as a result of this changes, $75 million by another 20 and then we have articulated previously that VADBe cost us order of magnitude $350 million. So I think if you focus on the income generated from the businesses and the continued pattern of dividends that we’ve demonstrated that’s really why I focus on parent company cash.
Operator: Your next question comes from the line of Justin Lake – UBS
Justin Lake – UBS: First just want to go over some of the specific assumptions around membership, can you give us what you think you’re looking for for January 1 as far as membership there, and then maybe spike out the benefit from some of the individual and small group initiatives and rollouts and then finally just what are you thinking on the economy, unemployment, what’s baked in there for 2010 as far as [in group] attrition going forward.
David Cordani : I’ll provide you with a few of the headlines and again we intend to walk through this in a good amount of detail in a couple of weeks with you at Investor Day, but broadly speaking number one, for 2010 as we indicated in our prepared remarks we expect overall stable membership and you should think about that as being in pattern throughout the course of the year, so indicating a stable result for January 1 and staying in pattern throughout the course of the year. By way of the major moving parts, we would expect overall as we indicated, a strong result in our middle market and to remind you we define that more broadly then our competition so commercial employers, 250 to 5,000 and very importantly large single side employers. So continued strong performance there both retention and new business ads. Secondly what we call the select segment, the 51 to 250 life employer segment, we expect to see significant improvement from 2009 to 2010 resulting in a stable result for that line of business, offset by declines in the national accounts base which we define very narrowly as commercial employers, multi state commercial employers, over 5,000. Specifically as it relates to contribution of individual in 2010 versus 2009 think about an order of magnitude 40 basis points of net membership growth overall. Remember we start from a small base coming into 2009. We’ll grow that in the neighborhood of 35 to 40,000 lives and then think about that growing another 30 or 40 basis points more going into 2010. So we like the trajectory but it is not the sole driver. Lastly on your question of disenrollment underlying our expectations is that the unemployment rate will not improve dramatically from where we’ll end this year, nor will it accelerate at the rate we saw through 2009 from a disenrollment standpoint its really that acceleration in unemployment. So our expectation is that we will revert closer to historic disenrollment levels, not fully to specific disenrollment levels. So the point is unemployment will not continue to erode like it did in 2009 going from 5% to 10% therefore we don’t expect it to go from 10% to 15% in 2010.
Justin Lake – UBS: And then just on 2010 operating efficiencies, you threw out that $150 million number there, is that the benefit year over year so that’s incremental lower operating costs 2009 to 2010.
Annmarie Hagan : The $150 million that we talked about was the specific result of the various actions we’ve taken in 2009 so you’ll recall we took a large action in the first quarter, another one in the second and another in the third so the aggregation of that was $150 which a large portion of that would have been realized in 2009 and then maybe a smaller one third portion of it would come through in 2010.
Justin Lake – UBS: So if I think about operating expenses then, then you have that $50 million and then there’s the benefit from the lower amortization.
Annmarie Hagan : That’s fair when you say lower amortization relative to transformation, first of all let me tell you we’re going to give you a lot more information in a couple of weeks, but relative to the lower transformation amortization, as we’ve mentioned many times we have continued to invest in our technology portfolio so there is a little bit of new amortization coming in there too, so wouldn’t necessarily count that as a net, net. At the end of the day reduction to the magnitude you’re thinking, but just then be sure that David and I will go through significant detail on our expectations relative to cost reduction initiatives that are expected in 2010 in a couple of weeks.
Operator: Your next question comes from the line of Christine Arnold – Cowen & Co.
Christine Arnold – Cowen & Co.: Couple of questions, can you give us a sense for what you’re seeing in the experience rate at book, are you seeing disenrollment going into next year and also what’s your expectation for stop loss, do we have more cost savings on Great West or do we expect this modest cost pressure and lower revenue to impact next year.
David Cordani : On experience rate, I think your question was around are we expecting to see more disenrollment going into next year, overall for the experience rated book, as you very well know it’s a very targeted funding mechanism for our subset of the middle market. We would expect overall our experience rated result in 2010 from a volume standpoint to be favorable versus the trajectory that we had in 2009, point one. Two, the disenrollment pattern specifically to that the experience rated portfolio has a similar disenrollment pattern in terms of in group attrition as a normal middle market ASO customer would have as well. But we would expect to see some improvement in our experience rated book of business as we have some targeted growth initiatives there. As it relates to stop loss you’re pointing toward the medical cost improvement, as we indicated in our prepared remarks we expect to achieve the vast majority of our total medical cost improvement for the Great West portfolio of business by the end of this year. So there’s a little run rate contribution going into 2010 but we were fixated on making sure we drove the total cumulative medical cost improvement during the course of 2009, which is in part why we’re seeing the improvement in the second half of 2009 in our select book of business and expect to see that in 2010 because we’ve been able to improve the overall price point in total medical costs for those customers as well.
Christine Arnold – Cowen & Co.: And then on capital deployment if you’re going to have something like $800 million coming through at the parent next year, how do you think about immunizing some of these run off businesses, the GMIB and VADBe fully capitalizing them, separating them from the rest of your businesses versus share repurchase and other uses of capital.
Annmarie Hagan : So interesting how you got right to the $800 million for next year, but that was just order of magnitude so I wouldn’t take that to the bank just yet. We’ll comment on that further at I Day. Relative to how we think about it though, we continue to go back to our normal capital deployment strategy. First invest in our businesses, second look for M&A activity and then finally if nothing there is available we look at the repurchase. And specifically as it relates to VADBe and GMIB rest assured that every day that we wake up in the morning we think about how we could further insulate those from the rest of our businesses. To date we have not been able to find the perfect answer but I’d also note that VADBe, knock on wood, with the equity markets being stable, has been an non event for a couple of quarters. GMIB the same, the economics remain in line with our expectations and I would just say that from a capital perspective we are looking again at all three of those items and our capital management strategy has not change.
Operator: Your next question comes from the line of Peter Costa – FTN Equity Markets
Peter Costa – FTN Equity Markets: Two questions, first is your Medicare advantage pricing looked a little more aggressive this year then it has in the past for 2010, is that intentional and if it is what are you doing to train brokers or people to sell that more aggressively. And then the second question is just can you comment on Senator Rockefeller’s letter to you and what you’re doing about the differences in filing.
David Cordani : I’ll address Medicare, I think your question is going specifically to Part D, so I’ll address Part D specifically. Going into 2010 our pricing strategy was to position the book of business to balance growth and profitability so make no doubt about it, we were not seeking to grow the book of business at the cost of profitability. Success for that portfolio as you very well know is trying to thread the needle if you will in terms of getting a price point so you qualify at a minimum in 50% or greater of the regions that you’re targeting. Going into 2010 we achieved a good price point within the regions qualifying in just over 20 of the regions and on an overall basis we feel good about the pricing which reflects improving administrative efficiencies and very importantly for us, leverage of our captive PBM, and contribution of that into the Part D line of business through aggressive and effective leveraging of generics and other clinical programs. So overall as we look at 2010 the pricing strategy we sought to employ to balance growth and profitability we actually feel quite good around the positioning we had to step into the year.
Edward Hanway : On Senator Rockefeller’s ongoing investigation in the small group market, we continue to work very proactively with the Senator. I would remind you as we have his Committee, that the small group block of business for us never has been a focus. Its very small, I think its less then one half of a percent of our membership. Having said that we are working very closely with him. We have furnished significant information to him and we will be working through the questions he and his staff have about any inconsistencies between statutory state filings and information that he’s seen pretty aggressively over the next several weeks. But again this is an extremely small part of our book of business and if there’s any confusion relative to information that exists on it, we’ll clear that up with the Senator’s Committee.
Peter Costa – FTN Equity Markets: And my question at the beginning that was more about Medicare advantage when you look at senior cost sharing, it does look a little bit more aggressively priced then you have in the past, its not just on Part D, it was there as well but it seemed like a more aggressive posturing for Medicare advantage as well.
David Cordani : So if you go to the non-Part D Med advantage obviously as you very well know there’s two blocks of business, two portfolios, there’s a network based solution, there’s a private fee per service solution. If you go to the network based solution, the one item I would remind you is the single market that we utilize that product in is Arizona, where we have a multiline medical delivery infrastructure that’s captive to CIGNA, so we have a cost of goods sold that we’re able to manage relative to that. And overall its small, its measured in tens of thousands of members and individuals not hundreds of thousands. Similarly on a private fee per service basis, we have a very small portfolio which seeks the target solutions on a pinpoint basis for key employers today. So overall private fee per service and network, very small to us and on the network base solution it only exists in Arizona where we own a captive delivery infrastructure which is the primary medical delivery structure for that product.
Operator: Your next question comes from the line of Charles Boorady – Citigroup
Charles Boorady – Citigroup: I’d love to hear your thoughts long-term on M&A, a lot of uncertainty in health reform but Medicaid seems very likely to be a fast growth driver and specifically as at a customer end market do you think you can expand in or you want to expand in and if so organically or through acquisition and any other color on long-term M&A thoughts.
Edward Hanway : I don’t think our view of M&A or our focus areas has really changed dramatically. I think we’ve said consistently that we’re open to M&A to the extent that something would be particularly strategic for us, add capability, or add scale in markets that were attractive to us. I think that was reflective with the Great West acquisition that we viewed as being both very strategic and also hitting the second criteria we have which is, is it going to be effective from a shareholder perspective. And I would say we are open to considering things like that. Clearly as it relates to the individual business I think we need to understand what reform is going to do and what David pointed out earlier is that our investments there on an organic basis are designed to help us learn and to help us get some capability that we can deploy ourselves. If that particular area of the business look like a stronger opportunity post reform, I think that’s an area that we would be attentive to. I agree with your observations relative to Medicaid, however having said that I think that would be less or lower on our list of things that we might ultimately consider at least at this point in time. So really our philosophy hasn’t changed from what we’ve talked about for year which is if its strategic, can add some scale, could bring some line extension in the areas that we think is important that’s what we would consider.
Charles Boorady – Citigroup: And I can ask a follow-on on that as you see reform playing out what key success factors may change in the industry and how are you positioned relative to them, for example, high local market share is something CIGNA has not possessed but you’ve been able to do okay because you’ve been in the top quartile in key markets. Is scale going to become a lot more important, will that increase the necessity to boost your local market share, any of those kind of observations you could share with us as you think through the future of how CIGNA will look in three to five years from now.
Edward Hanway : I think those are some of the things that we’re going to cover in a lot of detail at I Day in a couple of weeks. I’m going to let David comment on the scale and focus issue here in a minute to follow-up on some of his prepared remarks but what I would say as kind of an overview is, as we look at reform we’re considering a number of things. One as it relates to the individual market, what will the dynamics be there and what will that mean for an area that we have targeted and are believing that we’re actually seeing some good early success. So what will change there, will the underwriting processes and the infrastructure required change and what will that do to our assessment of the attractiveness of that business. I think the other area that we’ll watch very carefully is seniors, that’s an area whereas David just mentioned from a Medicare standpoint we have a very modest presence today. The demographics in that group suggest that its going to continue to grow and I do believe ultimately that a public/private partnership is the best way to meet the needs of those folks but we’ll have to wait and see as this plays out just how good a partner the government is likely to be or desirous of being to determine whether or not we get aggressive there. Relative to our broader business, I think we feel very, very good about the networks that we have today and about the opportunities that we have in concentrated markets. That’s a core part of our strategy David just referred to, I’m going to let him comment specifically on that piece.
David Cordani : Your broad question relative to the basis of competition, it will always come back to value, right. So the buyers perception of quality and relationship to price, local share will indeed be important and as you very well know you could go through some examples of legislative reform where share could either be more important or potentially commoditize going the other way from a reimbursement standpoint. So you’ll hear from us at I Day, share and focus and geographic depth is important and you’ll see that as we’re driving traction within our business portfolio. Some of the traction in the middle market is directly correlated to local share. The second piece I would highlight is under both any form of reform as well as just the emerging market conditions, the ability to use information effectively at the individual level and then in correlation with their physician is increasingly becoming more and more important by the day and that is an important part of our business strategy. And then being able to use that in coordination with whatever help advocacy or health coordination programs that are being implemented. So those are critical parts of our business strategy as we look forward and monitor health care reform and we’re excited to walk through that in a lot of depth in a couple of weeks at I Day.
Operator: Your next question comes from the line of Kevin Fischbeck – Bank of America
Kevin Fischbeck – Bank of America: Just first a question on the Q4 guidance or implied Q4 guidance, 84 to 104, it’s a pretty wide range, and the health care income range is also pretty wide, I wanted to get your thoughts on exactly what will get you towards the higher end of that range, what will get you towards the lower end of that range, and why a broader range going into Q4 then what you had last year.
Annmarie Hagan : Relative to the Q4 I think the reason that the range is a bit broad is because of the uncertain times that we’re in. We believe that we’ve put in appropriate relative to the health care number specifically, we believe we’ve put an appropriate amount in there relative to the impact of H1N1 and the flu but it is a wildcard. There’s lack of certainty as to what that really is going to play out to be. So I think less impact of flu brings us to the upper end of the range, and more impact brings us more to the mid point and then relative to our other businesses I think really the range is pretty tight there and wouldn’t expect any big surprises to move us one way or the other off of those ranges.
Kevin Fischbeck – Bank of America: And can you talk a little bit more about the pricing environment in the ASO business after one of your competitors talked about people were looking at the short-term costs, some of your commentary earlier was helpful but would love to get a little bit more, hear a little bit more about, was your commentary more about how you’re keeping your existing customers or do you still find that there’s the same type of adoption of an acceptance of the value add that you have or is that a tougher sell in this environment. I wanted to kind of reconcile the relatively positive comments earlier with the comments also about how some of your lean benefit design products are really picking up in this economy. It seems strange that you’d be seeing both sides of that happening.
David Cordani : So the pricing environment first, to frame it as I indicated in my prepared remarks the pricing environment remains competitive. There’s no doubt there’s a competitive environment and we have demonstrated commitment to our underwriting discipline. In that environment one thing we’re pleased about in 2009 and will be pleased about stepping into 2010 broadly speaking our account retention rates are strong. And that’s a critical indicator of whether or not we’re delivering value to our existing customers, so broadly speaking the retention rates are strong. As it relates to the first point you highlighted which is the difference between more price sensitive buyers versus an aspect of our strategy correlating to bringing some of the value based programs to the market, where we have seen the greatest success for new business growth is either for employers who outside of the [flag segment] so for middle market and national, employers who are pursuing and purchasing health engagement, consumer directed incentive based capabilities and/or a multi product line purchase. And when either of those play out there is a significant number of additional programs to create value for those employers and their employees as well as profit levers for us to balance the overall portfolio. So that is our target and its where we’ve seen the majority of our success. As it relates to your correlation on leaner benefits, as you step down market, in the select segment specifically so for those 250 life employers down to 50 life employers, that marketplace over the last 18 months has moved at an accelerated level to lean up benefits and to target benefits on a very specific basis. And a year ago we indicated that we were a little slow relative to recognizing that, we’ve accelerate our progress there. And we’ve seen good traction in terms of both retention as well as emerging new business growth for that segment relative to leaner benefits. Last piece I would highlight is don’t misconstrue lean benefits with lack of prevention, wellness etc., corridor benefit strategy even in that segment is to make sure you have the right prevention, wellness programs highly incented because our value proposition that employers see that that’s a core part of any program. Then you have increasing cost sharing and decision points as you get more toward preference sensitive care. Hope that helps a bit.
Operator: Your final question comes from the line of Carl McDonald – Oppenheimer
Carl McDonald – Oppenheimer : Just wanted to clarify the response on the experience rate on enrollment, when you say favorable to 2009, does that mean up on an absolute basis or just not shrinking as much as the down 10% for this year.
David Cordani : We’ll walk through that in more detail at Investor Day but you should conclude the pattern from 2009 improving. I don’t want to go into specific guidance for 2010 relative to the absolute performance. Just look at it as at a minimum improving from the 2009 trajectory and we’ll provide more color at I Day.
Carl McDonald – Oppenheimer : And just across the book any metrics you can provide on January 1 account wins that you know of already.
David Cordani : We clearly have some pretty good insights into January 1, so let me just give you a little bit of color, but again we want to go into this in good detail stepping into I Day. One, for the middle market which is the largest portion of our overall portfolio, retention will be strong, new business growth will be strong, as I indicated earlier, both for what you would think of as more core middle market, 250 to 5,000 life employers. And very importantly and pinpointed to some questions we had before around geographic depth, large single site employers which are critical to our business strategy. So we feel good about that and we will provide a good amount of visibility. Secondly, in the national accounts segment, overall our new business wins were actually quite strong this year on a relative basis. And very importantly our new business wins correlated very significantly to those employers who are either buying CDHP, engagement, incentive based programs or multiple lines of business. And they tend to be employers more in the 20, 30, 40, 50,000 life range then the 150, 250,000 life range which again is a nice fit to our value proposition. So that provides a little color to you and again we’ll peel that onion back pretty significantly at I Day in a couple of weeks.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
David Cordani : In closing I’d like emphasize just five key points from today’s call, first our third quarter consolidated results reflect solid earnings contributions from each of our ongoing operations. Second, ongoing reduction to our operating costs is a key strategic priority. We’ve made good progress and we remain committed to the execution of our multiyear expense strategy. Third, our capital position and balance sheet are strong and our inventory portfolio continues to produce good results. Fourth, regarding health care reform, we remain active in the debate and continue to be focused on developing sustainable reform for our health care system. Reform that improves access and quality while reducing costs. And finally, our 2010 earnings outlook reflects competitively attractive earnings growth in a tough economic environment which is driven by the strength of our diversified portfolio of businesses. We thank everybody for joining today’s call and look forward to seeing you at Investor Day.